Operator: Hello, and welcome to the Algonquin Power & Utilities Corp. Fourth Quarter and Full Year 2023 Earnings Conference Call. [Operator Instructions] I will now turn the conference over to Mr. Brian Chin, Vice President of Investor Relations. Please go ahead.
Brian Chin: Thanks, operator. Good morning, everyone, and thank you for joining us for our fourth quarter and full year 2023 earnings conference call. Speaking on the call today will be Chris Huskilson, Interim Chief Executive Officer; and Darren Myers, Chief Financial Officer. Also, joining us this morning for the question-and-answer portion of the call is Jeff Norman, Chief Development Officer; and Johnny Johnston, Chief Operating Officer. To accompany today's earnings call, we have a supplemental webcast presentation available on our website, algonquinpower.com. Our financial statements and management discussion and analysis are also available on the website as well as on SEDAR+ and EDGAR. We'd like to remind you that our discussion during the call will include certain forward-looking and non-GAAP measures. Please note and review the related disclaimers located on Slide 2 of our earnings call presentation at the Investor Relations section of our website at algonquinpower.com. Please also refer to our most recent MD&A filed on SEDAR+ and EDGAR and available on our website for additional important information on these items. On the call this morning, Chris will provide a business update, including key highlights pertaining to our regulated and renewables business groups as well as brief comments on our strategic plan process and CEO search. Then Darren will review our fourth quarter and full year financial results. We will then open the lines for the question-and-answer period. [Operator Instructions] With that, I'll turn it over to Chris.
Chris Huskilson: Thank you, Brian, and good morning, everyone. 2023 was a decisive year for Algonquin. We made several strategic decisions and are focused on becoming a pure-play regulated utility, simplifying the company and achieving greater operational efficiency. We're excited about the opportunities ahead and will shape our regulated business into a leading utility platform. When I started in August, I focused on four things: our people, the renewable sale, optimizing the value of AY and getting the regulated business set up as a standalone. Although there's still lots of work to be done, we're making progress. We've retained our people. And they are engaged in the change. We have been simplifying the business and making it more transparent to investors. The renewable sale is proceeding as planned. And we continue to expect to close a transaction this year. We're actively working with AY to support them. And we've begun making changes to the way the regulated business is organized in the way it runs while making use of our new SAP system. From a business segment performance standpoint, both full year 2023 and fourth quarter saw double-digit divisional operating profit growth for our Regulated Services Group due primarily to a number of new rate implementations across our utility portfolio. Our renewable business placed in service 453 megawatts of new wind and solar generation for 2023. Despite a weather-challenged year, our renewables business ended the period with fourth quarter divisional operating profit up by 6%. These results demonstrate that despite 2023 headwinds and the strategic transition currently underway, these two solid businesses are solid businesses with significant long-term opportunity. Darren will provide more color on the 2023 financial metrics later in the call. Our Regulated Services Group grew at a healthy pace in 2023. Regulated divisional operating profit grew 10% year-over-year, primarily driven by interest income on regulatory asset accounts and new rates implemented at several of our utilities, most notably, our CalPeco, Empire and BELCO electric systems. This growth reflects tremendous opportunity to invest in our systems for the benefit of our customers. There are not -- these are not new rates for the sake of new rates but rather a recovery of and on already invested capital in our systems to provide safe and reliable service to our customers. With that said, we have plenty of work and opportunity ahead of us. Our objective is to earn our allowed cost of capital while serving our customers. Our gap today reflects timing from investments we have made and the under-earning at New York Water as a result of our stay-out from the acquisition. We're working to improve our returns and have a number of active rate cases. We also see an opportunity to improve our performance and maximize our operational efficiency, including through initiatives such as the rollout of our Customer First SAP program and improving our processes and leveraging this significant technology foundation that we've put in place. In 2024, we expect to have our Canadian and U.S. regulated utilities transition to this standard software platform, which is a key step to our multiyear journey. We're pleased to report that during the course of 2023, our Regulated Services Group received final rate case orders at 8 of our utilities and 1 additional order subsequent to year-end in January '24 with authorized revenue increases totaling $44.1 million, representing over 70% of our rate requests. We believe this is reflective of our constructive partnerships and our -- with our regulators and the communities we serve. We're pleased with these continued advancements as a core growth strategy of the Regulated Services Group is to responsibly invest in our utility systems on behalf of our customers and target a constructive return on our rate base. In total, the Regulated Services Group had at year-end pending rate reviews totaling $93.4 million across 6 of its utility systems with an additional $12.4 million at 2 of the water systems filed in January, bringing the total for the year to $105.8 million currently pending. These rate cases reflect our continued commitment to invest in our utilities for the benefit of our customers and shareholders alike. While we see these advances as success, we are not satisfied with some of our regulatory positions. And we are committed to changing this and making this better. Turning now to an update on the projects of our Renewable Energy Group. Along with the 453 megawatts delivered in 2023, in the fourth quarter, we completed construction of our Hayhurst, Texas solar facility. Site preparations continue at the 150-megawatt Carvers Creek and 144-megawatt Clearview Solar projects and panel installation has commenced. In total, we now have approximately 300 megawatts of solar projects in various stages of construction. As well, we have added 1,660 megawatts to the development pipeline in 2023. All in all, the renewables business had lower generation due to unfavorable weather but made solid progress growing generation capacity in the development pipeline. As of year-end, our net generating capacity is 2.7 gigawatts, which excludes our partners' interest in our construction joint ventures. Subsequent to year-end, we've also chosen to take further steps to simplify our renewable energy business. In January, we consolidated our renewables development joint venture and monetized two small renewable development projects in Spain. This will have the effect of simplifying and consolidating our development expenses without impacting our investment in development or our projected cash flows. And finally, before I turn things over to Darren, a few comments on the strategic plan for the company and the CEO search. We launched the sale process with potential buyers in the fourth quarter and are pleased with the level of buyer interest that we've seen in our renewables platform. We continue to target a potential transaction announcement around mid-'24 and closing later in the year. We also are making progress in our search for a permanent CEO and have been pleased with the slate of candidates reviewed thus far. I remain dedicated to this role of interim CEO for as long as required and as the Board works to find the right candidate. In keeping with my transparency objective, I'm again focused on four things for '24: first, growing our people and their capabilities; second, completion of the renewable sale and optimizing the value of AY; third, meeting our financial objectives as a team; and fourth, getting the regulated business running as one optimized business, including fully utilizing our SAP platform. With that, I'll turn things over to Darren, who will speak about our fourth quarter and full year financial results. Darren?
Darren Myers: Thank you, Chris, and good morning, everyone. As Chris touched on briefly, 2023 was a year of decision-making. We believe that the decisions we've made are the right actions to simplify the business and better position the company for long-term profitable growth and focused value creation for shareholders. Overall, we're pleased with our fourth quarter results in the backdrop of a challenging 2023. Q4 consolidated adjusted EBITDA was $334.3 million, up 13% from the same period last year, while full year consolidated adjusted EBITDA was approximately $1.24 billion, an increase of 4% over 2022. Fourth quarter adjusted net earnings were $115.5 million compared to $97.6 million reported last year, an 18% increase. Full year adjusted net earnings were $372 million, down 11% from last year. On a per share basis, our fourth quarter adjusted net earnings per share was $0.16, a $0.14 improvement year-over-year, primarily attributable to organic regulated growth and higher tax credit recoveries from our renewables business. This was partially offset by higher interest expense. For the full year, adjusted net earnings per share came in at $0.53, a decline of 13% year-over-year. This is consistent with our third quarter update, where we stated that we expected full year guidance to come in at or below our 2023 guidance range of $0.55 to $0.61. While full year adjusted net earnings per share were boosted by organic growth in our regulated business and higher-than-typical tax credit recoveries, these positive items were more than offset by higher interest expense and $0.05 from unfavorable weather as well as higher minority interest expense related to our fourth quarter 2022 asset recycling transaction. Looking now at results on a segmented basis. The Regulated Services Group delivered $238.3 million in divisional operating profit in the fourth quarter and $954.1 million for the full year, up 11% and 10%, respectively, year-over-year. The increases were primarily due to new rate implementations of several of the company's electric and water utilities, the previously disclosed one-time CalPeco true-up and higher interest income on regulatory asset accounts. These were partially offset by unfavorable midyear weather at the Empire Electric system. The Renewable Energy Group posted fourth quarter divisional operating profit of $107.6 million, an increase of 6%, primarily due to improved equity income from the Texas coastal wind facilities, more favorable capacity revenues for the majority of solar facilities and slightly higher HLBV income. On a full year basis, operating profit was $371.8 million, a 9% decrease year-over-year, which was driven primarily due to an expected drop in HLBV income and certain 2012 vintage assets reaching end of PTC eligibility and unfavorable weather across Canadian and U.S. wind facilities. These impacts were partially offset by higher equity income from the Texas coastal wind assets and contributions from new facilities and investments. Let me now touch on CapEx and the balance sheet. We ended 2023 with regulated capital expenditures of approximately $700 million and renewable CapEx of approximately $300 million, rounding up in total to $1.1 billion. As of the year-end 2023, our long-term debt was $8.5 billion, which includes $1.1 billion of equity units and $1.4 billion of subordinated unsecured notes. Subsequent to year-end, we successfully raised $850 million of Liberty Utilities senior unsecured notes and an additional $306 million of securitized utility tariff bonds at Empire. The proceeds were used to repay short-term and floating rate debt. And lastly, a few comments on our forward outlook for 2024 and beyond. We are focused on simplifying the business. As a result of the pending sale of our renewables business, we will not be providing adjusted earnings per share guidance at this time. Directionally, we expect our regulated rate base growth to be in the mid-single digits and our regulated capital intensity to be at a similar level to 2023. To conclude, we are focused on executing on the renewable business sale, maintaining our BBB investment-grade credit rating, supporting our dividend and generating long-term shareholder value. With that, I will now turn the call over to the operator to open the lines for questions. Operator?
Operator: [Operator Instructions] Our first question comes from Sean Steuart from TD Securities.
Sean Steuart: Chris, wondering if you can give us any, I suppose, directional guidance on the sales process on the renewable side. Are we at a point where all interested offers are in and you're vetting the offers? As we progress towards a decision middle of the year, any additional context you can give on where we are on that process?
Chris Huskilson: Well, it's pretty hard to give any color at this point. We are in a confidential process. And I think we were pretty clear with folks last time that we wouldn't be able to comment. But the one thing we did say was that no news is good news and you're not hearing any news.
Sean Steuart: I'll take that as a positive, okay. And appreciating this is all dependent on the renewable sales process, but you churned through some liquidity this quarter. Can you comment on the investment plan for the regulated platform and overall comfort with liquidity, absent the sale on the renewables platform at this point?
Darren Myers: Yes, I mean, we -- Sean, it's Darren here. I mean, we've got a number of steps in place. We're quite pleased with what we did in Q1 with the -- both the bond and the securitization. They were 4x oversubscribed, so lots of interest there. So from a liquidity point of view, we're in good shape and we're just executing our plan with the sale of the renewables business.
Chris Huskilson: And on the capital for the reg business, we've said about the same this year as last year. And that's where we see it.
Operator: Our next question comes from Nelson Ng from RBC Capital Markets.
Nelson Ng: Maybe I'll try to have another go at the renewables sales process question. So Chris, you mentioned that you'll be making a sales announcement and -- or you expect to make a sales announcement in mid-2024. So just to clarify, are you essentially saying that the renewables sales -- like you expect to announce the sale of the renewables division in mid-2024? Or are you saying that an announcement will be made in mid-2024 regardless of whether there is a sale or not?
Chris Huskilson: Well, what you just described is our target, is to announce a sale mid-'24. That's our target.
Nelson Ng: Okay, okay. And things are tracking well, it sounds like.
Chris Huskilson: No news is good news.
Nelson Ng: Okay. And then just on -- just to clarify the question that Sean asked, so you mentioned that the utilities CapEx is the same this year compared to last year. What about on the renewable side? Can you comment on the expected CapEx there?
Darren Myers: Yes, Nelson. No, I mean, we're just not going to make comments on the renewables. It's obviously with everything going on, we just don't think it's the appropriate time to provide guidance on the renewables business.
Nelson Ng: Okay. And then just, I guess, one -- like since you're not providing guidance for 2024, can you just directionally talk about the utilities -- or the two divisions plus the tax rate in terms of -- obviously, the utilities, you're running through a number of rate cases. So I presume it's positive directionally. Can you talk about the tax rate, where obviously you benefited from a number of tax credits? And then on the renewables side, I think 2023 had below-average generation. So -- and also, had some additional assets that were brought online. So I presume directionally, everything looks positive. Maybe the tax rate will move up rather than -- but I'll just let you, see if you can provide...
Darren Myers: Yes, there was a lot in that, Nelson. Yes, I mean, again, we're not providing guidance. But just direction -- and we want to be as helpful as we can be and be as transparent as we can be. Certainly, what I would say is tax credits were higher than they normally are on the renewables side. But that's a lumpy business and the tax credits can be quite lumpy. The underlying tax rate has been having those -- the increases that we would have expected if you take away the tax credit. And as we've previously talked about, even with when I started, we do expect the underlying to go up over a number of years as a result of some of the changing tax landscape. So no color, I would say on -- again, on 2024 on the tax credits on the renewables business because we're just not providing the guidance at this time, given the dynamics.
Chris Huskilson: Yes. And I think the only other thing to say is that part of the tax improvement you saw last year is we actually sold a couple of tax credits into the market. And so we see that as very positive for the business because the market continues to develop.
Operator: Our next question comes from Rob Hope from Scotiabank.
Robert Hope: I was hoping you could explore the concept of simplicity a little bit more. You did, we'll call it, simplify the business a little bit here with some of those roll-ups in Q4. But when you take a look into later this year and into 2025, like how do you envision simplifying the business and kind of what key factors should we be looking for?
Chris Huskilson: Well, I think it goes into a couple of different things. So first of all, one of the things that will be true is that the business will become more transparent because the utilities will be more surfaced in the business and you'll be able to see more directly what the utilities are actually doing. And then when it comes to the platform that we've put in place -- and we're putting the last stage of that platform in place in the spring with -- at Empire. And so by the time we get into -- solidly into Q2, we'll have our SAP platform solidly across the entire business. That will allow us to simplify our processes, which will allow us to simplify our reporting to speed up things like reporting, and we've already started to see that kind of improvement, and continue to be more transparent and simplified as we report to you and to customers and others. So at the end of the day, it really is about optimizing this business using our platform and using the ability to bring the utilities more to the surface of the business.
Robert Hope: All right. That's helpful. And then maybe just sticking with the utilities as well, you did see some headwinds in 2023 as expected. Where do you think the achieved ROE came in at? And as we look out into 2024, is it really just normalized weather as well as getting a New York decision going to be the key factors driving you closer to the allowed?
Chris Huskilson: Yes. And in fact, again from a simplification perspective, we did take a hit on weather in our regulated business as well as our unregulated business this year. And fundamentally, we should not be doing -- that should not be the case. We should be able to manage our way through weather events of that kind of scale. And so those are some of the things that we're working on with the business so that we don't have as much reporting on things like variations from weather. So there's an awful lot of that kind of work that's going on as well. I think the weather was totally about $0.05 in our total for this year. So it was a material amount and we have to minimize that. We cannot have that kind of fluctuation relative to weather in the future.
Operator: Our next question comes from Paul Zimbardo from Bank of America.
Paul Zimbardo: So I want to follow up a little bit. You mentioned that SAP rollout a few times as a driver for 2024. Just could you talk about the experience in New Hampshire, where it looks like it was a little rocky with that -- the $500 million-plus overstatement there that you identified? Just if you could give some background on what happened in New Hampshire and kind of the remedy plans you have for the rest of the business, that would be helpful.
Chris Huskilson: Yes. So fundamentally, what happened in New Hampshire is it was an early-stage release that we were looking at. And it's primarily focused on 2022 data. And about -- only about 3 months of that data was actually in SAP. So that's kind of the circumstance. Very, very new systems both to the interveners and also to the company and so, in large part, growing pains with respect to implementation of a new system. The fact that we have been able to analyze what happened there and understand it much better, the fact that we've asked for a pause and have third parties looking at the numbers so that we can prove to the regulatory authorities that the numbers are good, even though we had to make some corrections, we're learning that across the entire system. And so that's going into everything we do as it relates to -- and fundamentally, what we're talking about here is the translation between our GAAP accounting and our FERC accounting. And that translation needed some tweaking. And it's now in much better shape.
Paul Zimbardo: Okay. Great. And then the last for me, just I know you don't have 2024 EPS guidance. But could you give at least directional view on where FFO to debt goes into 2024? It looks like it's around 8.5% in 2023, so just hoping you could help there.
Darren Myers: Let me start with we wouldn't see 8.5%. So we'd probably spend some time with you offline on just seeing how you're calculating that. I mean, the rating agencies will publish what -- where they see the FFO. But I'd say it's more in the mid-11s would be kind of the range. And really, it's -- the plan is again to make sure we're BBB investment-grade. And so the sale of our renewables business and the proceeds of that will be used to pay down debt, delever and any excess would be used for buybacks. That's the plan. And that's what we've been talking about for some time now. Yes, there's probably some items you're using in there that aren't -- that get equity credit most likely. But we can go through them. We did also include a little more color in our investor deck on just debt -- on these debt components because I know it can be confusing for people. So that should hopefully try to get quickly on the same page.
Paul Zimbardo: Okay. Yes, we can follow up. I was just thinking it's your FFO divided by debt, so we can follow up.
Darren Myers: Yes.
Operator: Our next question comes from Mark Jarvi from CIBC.
Mark Jarvi: Maybe Chris, coming back to your comments about maximizing the value of AY, like you said in your prepared remarks that you're actively working with them to support them. Can you elaborate on that, what that means, what that could mean in terms of your relationship going forward? And I'll pause for that, my answer.
Chris Huskilson: Yes, I mean, I think just fundamentally, we're supporting the activities that they're going through right now. The transaction that I noted in my comments, we sold some of our assets in Spain to them, giving them some development opportunities. And we're looking at how we can be helpful in that kind of respect.
Mark Jarvi: But in terms of how you think about maximizing your value unit, is there anything on that, aside from making sure that they're unencumbered and they can optimize their own business? Or is there something else that we should read into your comments?
Chris Huskilson: No, I think that, that's appropriate, the way you've described it.
Mark Jarvi: Okay. And then just coming back to Rob's question, you commented on the 2023 headwinds on earned ROEs. As you look through '24, safe to assume, given the fact you've got a lot of rate requests pending, you won't get there in 2024. Is there sort of a cadence or a timeline you think of like improvements in overall achieved ROE through '24 and '25? Is it 25 basis points each year of improvement? Is there some way to sort of gauge the total market in terms of how you think the earnings profile, earned ROEs track over the next 2 years?
Chris Huskilson: I think, first of all, the results of our application in New York will be very important to that. Because New York is a substantial part of the lack of return at this moment. The other thing that you're going to see from us is, especially, as I said earlier, as we get the SAP system up and running and working efficiently, we're going to be able to improve our cost of operations. And that will also help us from a return perspective, so making sure that we can actually deliver the cost structures that the utilities have been approved to deliver. So in a regulatory construct, we're given a certain amount of operating costs and a certain amount of capital that we would put into the business. We need to hit those numbers. And if we're not hitting those numbers, then we're not achieving our returns. And so the SAP system is going to be very helpful to making sure we hit those numbers. And so I would see substantial improvement in '24 and then continued improvement in '25. But the biggest single step will be New York Water.
Mark Jarvi: So if we exclude New York Water and come back to the SAP comments, is the goal to be there by year-end in terms of managing down regulatory lag and making sure that you earn on your deployed capital? Is that something that you think is the target for the end of '24 to be accomplished?
Chris Huskilson: The biggest funded capital that we have out there right now is the SAP system itself. And so it's really just a matter of the timing of recovery of that relatively large investment. That is the biggest single factor we have. There's not very much regulatory lag on anything else. But it was -- as you can imagine, it was pretty hard to get that system into rates until we had it working properly in each one the systems. And so that has caused quite a bit of lag in and of itself.
Darren Myers: And Mark, just to add to it, to the other part of your question there, I mean, obviously, as people know, putting in systems like this, I think we've done a lot of good things getting it to where it is today. But then utilizing the systems, the efficiency, taking out waste, that's a journey. It's a good thing. It's a multiyear journey with multiyear opportunity for us. So we're excited by that. But those things aren't done overnight.
Mark Jarvi: Understood. So just to clarify, you don't think operating costs and interest expense are a drag on earned ROEs at the subsidiary levels, at least in 2024, by and large?
Chris Huskilson: No, I didn't say that. What I said was there is opportunity for us to get closer to the cost structure that we have been granted under our rates. And so the system will help us do that in a very big way. But obviously, implementing that system was a drag on those costs. And so now that we'll have it implemented, we'll be able to take advantage of it and, therefore, get our cost exactly where they should be so that we can make our returns. And as I said, it's a big cost unto itself. We spent almost $0.5 billion on that system. And so getting that into rate recovery by itself will help on regulatory lag.
Operator: [Operator Instructions] Our next question comes from Ben Pham from BMO Capital Markets.
Benjamin Pham: A couple of questions on the renewables business. Can you comment on whether the credit rating agency...
Chris Huskilson: Ben, I'm sorry, you broke up there on the front end. Could you try that again?
Benjamin Pham: Yes. A couple of questions on the renewable power business. Does your credit rating agency conversations drive the pace of the renewable sale process at all?
Darren Myers: No, no, I mean, what -- it's our plan. It's what we -- it's our plan in getting to simplification and maximizing the value is our plan. We have kept the credit rating agencies lockstep with us since we started since November of 2021. So it's -- yes, I mean, it's our plan. It's what we're doing.
Chris Huskilson: Yes. It's kind of the other way around, Ben. Fundamentally, we laid out a plan in front of the agencies. And they endorsed that plan and said that they could support it. So I think that's really the direction. And then from a timing perspective, it's really just the practical result of how long it takes to sell an asset base and a business as large as the renewables business is. It's a very large business. And in fact, that's why we see it as a very valuable business. It's a large and growing business.
Benjamin Pham: Can you comment also -- you mentioned in your report around -- over 400 megs being added. Are you pausing development right now on renewables? Or are you just continuing the same course? And can you also update on the size of your backlog right now?
Chris Huskilson: Well, in my remarks, I stated that we had 2 fairly large solar projects on the way and that we also added 1,660 megawatts of new developments to our pipeline in '23. So '24, we'll be building those 300 megawatts. And in '23, we added that 1,660 megawatts. So no, we're not slowing down at all. In fact, again, we think the momentum of that pipeline and the momentum of that business is part of what's attractive about that business.
Darren Myers: And Ben, I'd just add to that, I mean, as you would maybe recall, when we did the strategic review, the realization is we can't invest as much as the opportunity is in that business. So the pursuit of selling it is so that we can spend more on the regulated business and a buyer can spend more on the renewables business because it has such a strong platform and a lot of opportunities.
Benjamin Pham: Okay. Sorry about that, I got in a little bit later in the call. But is your backlog, is it still in that 3.5 gigawatts? Or is it different now? Can you share that?
Chris Huskilson: Sorry, Ben, you're breaking up again. We only got about three words.
Benjamin Pham: Yes, sorry about that, must be my old phone. Are you able to share your -- the size of your backlog? Is it...
Chris Huskilson: Sorry, the pipeline? Yes, so it's -- so obviously, we've built some assets, so there's about 700 megawatts that we've built. So that would come off the 8 and then we added 1.6 gigawatts, so it's kind of net up slightly from the 8, yes.
Benjamin Pham: I got you. And then maybe lastly, just a detailed one on the debt there. And if you may, on the total debt, can you decompose that for us in terms of like what amounts power, what amounts utility and what is the holdco level, which we could probably just take a look at the financials?
Darren Myers: Probably, just the easiest is to take that offline, just let's take that offline if that's okay.
Benjamin Pham: Okay.
Operator: There are no further questions at this time. I will turn the call back over to Mr. Chris Huskilson for closing remarks.
Chris Huskilson: Okay. Well, thank you, everyone, for attending the call today and for your interest in Algonquin. And thank you for listening to this call. Have a great day.
Operator: This concludes today's conference call. You may now disconnect.